Unknown Executive: For taking the time out of your busy schedule to attend our third quarter FY 2024 earnings call. For this third quarter, we had hoped for a recovery in market conditions in major regions, but the recovery was slower than expected, and the accompanying intensification of price competition made the sales environment surrounding our business even more severe. We have responded flexibly to those changes. But as you can see from the slide, the net sales were JPY 1,989.3 billion and the operating profit, JPY 104.6 billion. This was mainly due to a decrease in wholesale volume to clear up the inventory and the significant increase in sales expenses to cope with the price competition. The ordinary profit deteriorated because of the ForEx losses incurred in the first half of this year, and it landed at JPY 78.5 billion, and the net income was JPY 33.2 billion due to impairment and disposal of fixed assets. The retail sales volume increased by 7% year-on-year to 624,000 units, thanks to the sales boosted up by new models. Please turn to Page 4. In this slide, we would like to explain the factors behind the year-on-year changes in operating profit for the year-to-date third quarter FY 2024. In terms of volume, mix and price, the wholesale shipping control planned in Europe and the Middle East were partially absorbed by selling prices. However, the volume of contributed negatively to the operating profit year-on-year by JPY 15 billion. The sales expenses reduced the operating profit by JPY 38.2 billion because of the significant increase in incentives responding to the intensifying market conditions or competition in the U.S. About the procurement cost shipping cost. Although there were factors that increased the costs such as higher material costs and factory expenses from inflation and an increase in transport costs for special vessel allocations, those were offset primarily by procurement cost reduction activities. Therefore, the procurement and shipping costs improved by JPY 4.6 billion. We increased the R&D expenses as planned, reducing the operating profit by JPY 11 billion. Other items deteriorated the operating profit by JPY 13.2 billion in total, mainly due to personnel expenses, quality costs and the ForEx impact related to sourcing from our suppliers. About the ForEx, although there was an upturn in U.S. dollars and Australian dollars, there was an adverse implication from the cost currency Thai Baht overall, the ForEx improved the operating profit by JPY 17.3 billion. Please turn to Page 5. This slide explains the factors behind the year-on-year change in operating profit for the third quarter FY 2024. In terms of volume mix and price, there was an increase in profit coming from countries performing well in the ASEAN region, and there are improvements in selling prices and product mix in Japan, but there was a total decrease in profit of JPY 7.1 billion due to factors such as the planned reduction in shipping -- shipment in Europe and the Middle East. The sales expenses deteriorated the profit by JPY 10.5 billion in total, mainly due to the U.S. for the intensified market competition and various regions increased sales expenses for sales promotion to sell out inventories for the model switchover. As for the procurement cost, shipping costs, higher material costs from inflation and higher shipping costs due to special vessel allocations were partially absorbed by procurement cost reduction activities. Although, however, it reduced the operating profit by JPY 5.8 billion. R&D expenses increased as planned and as a result, it reduced the operating profit by JPY 2.5 billion. Others worsened the profit by JPY 700 million due to personnel costs and impact of ForEx and procurement from suppliers. Regarding ForEx, the negative impact of the worsening of the cost currency Thai baht was significant, and this resulted in JPY 15.4 billion decrease in operating profit year-on-year. Please turn to Page 6. This slide explains the factors behind the changes in operating profit from the second quarter to the third quarter. From the second quarter to third quarter, the yen appreciated against many currencies, along with the sharp rise in our cost currency Thai baht. Those negatively impacted the operating profit by JPY 18.5 billion. Other relatively significant factors is a decrease in the wholesale volume due to delays in vessel arrivals, primarily caused by port strikes in Canada affecting the volume mix price and resulted in negative impact of JPY 6.4 billion on the operating profit. In addition, in the procurement and shipping cost section, higher material costs, higher factory and shipping costs due to inflation were partially offset by procurement cost reduction activities, but in the end, they deteriorated the profit by JPY 8.2 billion. And in others, quality-related costs and others reduced operating profit by JPY 8.5 billion. Please turn to Page 7. Next, I would like to explain our global retail sales volume for third quarter FY 2024. Compared to the previous year, the volume grew in all regions, like in the first half of FY 2024, the volume grew 7% globally in the year-to-date third quarter. From next page, we will explain the status of sales in major regions. Please turn to Page 8. First, the ASEAN and Oceania regions, even in the midst of the harsh economic climate, our market share increased. Although the economic situation in Thailand remains severe, our market share has hit bottom and is on the rise. It is expected to take some time for the new car market to return to normal, but we will continue to focus on expanding our market share. Business confidence in Indonesia is also not good. Under such circumstances, our newly launched TRITON has maintained strong sales performance and contributed in expanding our market share. Although there is a growing view that demand will only recover to a limited extent, we aim to further expand our market share by strengthening the sales of commercial vehicles, which continue to show strong demand. The Philippines strong demand for automobiles continues, and we have also continued to enjoy strong sales of existing models like in the first half of this year. In addition, the sales momentum for Xforce and TRITON is on an improving trend. We will further expand sales and market share with those models in Vietnam. The automobile demand grew significantly, and the sales of XPANDER and Xforce was very steady. By focusing sales in regions where we have a strong sales track record, we also managed to have a solid start for the sales of new TRITON launched in September. In Australia, which accounts for the great majority of the Oceana region, the overall demand fell sharply due to a slump in consumer sentiment caused by the sluggish macro economy. However, resolving the supply shortage, steady sales of existing vehicles and the effect of new models gradually emerging, both unit sales and market share have increased compared to the same period last year. Please turn to Page 9. Next is Latin America and the Middle East and Africa. In Latin America, although market conditions have worsened in some markets with price competition continuing to be intense, the introduction of new models such as the new L200/TRITON and new OUTLANDER Sports has led to an increase in sales year-on-year. In the Middle East, the rapid market recovery from the post-COVID demand has plateaued and the increase in demand has leveled off. Our SUV models were received well by the market, while the new L200/TRITON model took time to penetrate into the market because the demand for pickup vehicles was shrinking in major markets, and that intensified the competition. Please turn to Page 10. Next, Japan, North America, European business. In Japan, TIV continued to decline year-on-year, like in the first half of 2024. Under such environment, successful launches of new OUTLANDER PHEV and DELICA D:5 special edition increased the sales volume and expanded our market share. In North America, the overall demand increased slightly. In this environment, we increased the sales volume in North America as a whole with OUTLANDER PHEV achieving the highest sales in the PHEV category in Canada for the second year -- second year in a row. At the same time, intensifying sales competition, particularly in the United States, has made it challenging for OEMs to strike the balance between profit and sales volume. Going forward, we continue to closely monitor the trend and implement sales strategies flexibly. In Europe, with the market weakening, price competition has intensified. We have also been affected by this. Although there is a growing sense of uncertainty about the future in major countries, we will focus on introducing new models out on the PHEV. Next, CEO, Kato, will explain the 2024 full year forecast. Kato-san, please. And please turn to Page 12.
Takao Kato: In the third quarter of FY 2024, unlike the first half of the year, where we were able to offset the deterioration in sales expense and material costs through cost reduction activities and favorable exchange rate, the increase in sales expenses to address intensifying sales competition and to reduce inventory levels and the deterioration of material costs were greater than anticipated. And these, combined with a significant deterioration in exchange rate resulted in a very challenging outcomes. In the fourth quarter, wholesale volume is expected to increase, particularly in North America. However, due to the anticipated impact of inflation settlements, including supplier support and the accumulation of other expenses, we have decided to revise our full year forecast for fiscal year 2024. Compared to the initial forecast, we are now expecting net sales to decrease by JPY 120 billion to JPY 2.76 trillion due to downward revision of full year wholesale volume forecast. Operating profit is now projected to decrease by JPY 65 billion to JPY 125 billion, incorporating increased sales expenses and cost inflation for materials. Ordinary profit is expected to decrease by JPY 100 billion to JPY 90 billion, impacted by currency exchange losses and equity method investment losses and net income after taxes is forecasted to decrease by JPY 109 billion to JPY 35 billion, mainly due to the impact of recording of restructuring costs for our Thai business. In addition, retail sales volume will be revised to 848,000 units in consideration of the situation up to the present time. While we anticipate that the business environment surrounding us will continue to change, we will closely monitor trends and respond flexibly to ensure we achieve our revised forecast. Please turn to Page 13. We have revised the analysis of factors behind year-on-year changes in the operating profit forecast for fiscal year 2024, as shown in the slide. Compared to the previous year, sales expenses and material costs, including the impact of inflation and supplier support have deteriorated. Although the exchange rates improved from the initial plan, the extent of the upturn was smaller than expected, partly due to the impact of a strong Thai baht. Please turn to Page 14. The items that have changed from the initial forecast are shown in the slide. In terms of the impact of the volume mix and price, a total deterioration of JPY 25.2 billion is expected due to the significant impact of the decline in wholesale volume in each country. Sales expenses are expected to deteriorate by JPY 19.9 billion in total, reflecting a significant increase to cope with intensifying competition as well as to boost inventory turnover. In terms of procurement and shipping costs, we anticipate a total deterioration of JPY 12 billion due to the impact of inflation, including supplier support and worsening shipping cost, although we expect factory expenses to improve slightly. Others are expected to deteriorate by a total of JPY 21.5 billion due to anticipated increases in quality costs, exchange rate on procurement by suppliers, personnel and general expenses. The impact of exchange rate has been revised in line with the current level of exchange rates and an upturn of JPY 13.6 billion is now expected. Please turn to Page 15. We have revised our full year retail sales volume forecast as shown on the slide, in light of current demand trends and sales results to date. In Australia, Japan and North America, we raised our forecast. But in Europe, the Middle East and ASEAN, we lowered our forecast factoring in the impact of the sluggish growth or the delay in recovery of total demand to date, although our sales has gradually increased. Please turn to Page 17. Since November, we have been selling the significantly improved the crossover SUV OUTLANDER PHEV model in Japan. So far, this model has greatly exceeded our expectation, and we have made a very smooth start. The new OUTLANDER PHEV has significantly improved the MY25 model has extended EV range from about 80 kilometer to over 100 kilometer to enhance both power and comfort. Additionally, we have improved the quality of the interior and exterior as well as the functions and equipment. As a result, we have received more than double the planned orders in just 2 months to the end of last year, indicating that the product has been very well received. The OUTLANDER is soon to be launched in North America, Europe and Australia. These regions are all highly competitive markets, but we aim to expand the success we have seen in Japan to these regions, thereby increasing sales volume and reducing sales expenses. Please turn to Page 18. The slide shows the TIV, our market share, the movement of Thai baht affecting our export business in Thailand since 2019. In the past, the TIV was about 1 million units and the pickup truck market, which is set to be Thailand's national car occupied about 40%. TIV has not recovered significantly since the COVID pandemic. And in fiscal year 2023 and '24, it declined more rapidly, mainly due to the continued increase in household debt. In FY '24, in particular, the pickup truck market more than halved compared to FY 2022. Household debt is expected to remain high this year, and it will take some time for demand for new cars to normalize. Our market share has been on a downward trend since fiscal year 2019, but it has bottomed out in fiscal year 2023, partly due to the effects of new models. Furthermore, the sharp rise in the Thai baht, which plays a major role as our export base in Thailand is having a major impact on the deterioration of profit. In light of these market conditions and outlook, our local subsidiary, MMTH, has proactively initiated structural reforms, including a voluntary early retirement program for approximately 300 employees. Please turn to Page 19. In terms of shareholder return, in light of the recent trend towards reducing cost shareholdings, we have considered improving capital efficiency and enhancing shareholder returns. As a result, in November, we conducted the share buyback of a portion of our shares held by Nissan Motor Corporation. We recognize that returning profits to shareholders is the most important issue for us as a corporation. And in FY 2024 is positioned as a year to make the first step for improving shareholder returns over the mid- to long term. Therefore, although we have revised down our full year forecast, we plan to pay an annual dividend of JPY 15 per share as planned. Going forward, taking into account the trend in profits and investments, we intend to strengthen shareholder return measures in an appropriate manner. Please turn to Page 20. While we had planned to inform our policy regarding our participation in the business integration of Nissan and Honda by the end of January, the 2 companies are still in discussions determining the direction. Our understanding is that a decision on the direction is scheduled to be made in mid-February. While receiving an update on the progress of the discussions between the 2 companies, MMC is also undertaking its own study so that we can make a decision speedily on whether or not to join the 2 companies in their integration discussions. At this stage, we are considering various possibilities, and we will explain our plans once we have determined our direction. The business environment in third quarter fiscal year 2024 surrounding us became increasingly challenging as we did not see a recovery in demand in Thailand and Indonesia, which we had hoped for and market competition intensified, particularly in the United States with foreign exchange rates deteriorating mainly in Thai baht. In addition, in order to respond flexibly to the challenging sales environment, we took early steps to optimize inventories, which resulted in an increase in sales expenses. In this year, the third year of our midterm plan, Challenge 2025, the economic recovery in ASEAN, particularly in Thailand and Indonesia remains uncertain. We also anticipate cost deterioration due to inflation and potential regulatory and policy changes by new governments in various countries, making the future even more challenging and difficult to predict. On the other hand, the launch and expansion of new models that we have been developing for the past few years will accelerate. With inventory clearance almost complete, we believe that the third quarter of FY 2024 is the bottom in sales volume and profits. Moving forward, we aim to increase sales volumes and control sales expenses by leveraging the rollout of new models while proactively implementing cost reduction measures ahead of schedule to achieve further growth. Thank you very much for your attention.